Operator: Good morning. My name is Sally, and I'll be your conference operator today. At this time, I would like to welcome everyone to the Teradyne Fourth Quarter 2012 Earnings Conference Call. [Operator Instructions] I will now turn the call over to Mr. Andrew Blanchard, Vice President of Investor Relations. Mr. Blanchard, please go ahead, sir.
Andrew J. Blanchard: Thank you, Sally. Good morning, everyone, and welcome to our discussion of Teradyne's most recent financial results. I'm joined this morning by our Chief Executive Officer, Mike Bradley; our Chief Financial Officer, Greg Beecher. And I'd like to welcome our new President, Mark Jagiela. Mark stepped up from his role as leader of the Semiconductor Test Group on the 1st of January. Following our opening remarks, we'll provide details of our performance for the fourth quarter and full year 2012, as well as our outlook for the first quarter of this year. First, I'd like to address several administrative issues. The press release containing our fourth quarter and full year results was sent out via Business Wire last evening. Copies are available at teradyne.com, where this call is also being simulcast. Note that during this call, we're providing slides on the website that may be helpful to you in following the discussion. To view them, simply access the Investor page of the site, and click on the Live Webcast icon. In addition, replays of this call will be available via the same page about 24 hours after the call ends. The replays will be available along with the slides through February 9. The matters that we discuss today will include forward-looking statements that involve risk factors that could cause Teradyne's results to differ materially from management's current expectations. We encourage you to review the Safe Harbor statement contained in the earnings release, as well as our most recent SEC filings, for a complete description. Additionally, those forward-looking statements are made as of today, and we take no obligation to update them as a result of developments occurring after this call. During today's call, we'll make reference to non-GAAP financial measures. We've posted additional information concerning these non-GAAP financial measures, including reconciliation to the most directly comparable GAAP financial measure where available on our website. To view them, go to the Investor Page and click on the GAAP to Non-GAAP link. Also, between now and our next earnings call, Teradyne will be participating in investor conferences hosted by Stifel Nicolaus, Goldman Sachs, Piper Jaffray and Susquehanna. Now let's get on with the rest of the agenda. First, our CEO, Mike Bradley, will review the state of the company and the industry for the fourth quarter and full year 2012, and provide our outlook for the first quarter of 2013. Then, our CFO, Greg Beecher, will provide more details on our quarterly performance along with our guidance for the first quarter. We'll then answer your questions. You should note that we intend to end this call after 1 hour. Mike?
Michael A. Bradley: Good morning, everyone. Thanks for being with us today. I'll start today with a brief recap of 2012 and give you both a view of how we -- how the start to this year is shaping up, plus an outline of what we think would make for a successful 2013 when we're talking with you 12 months from now. As usual, Greg will give you the financial perspective, not just for the near term but more importantly, an overview of how our market and financial strategies will continue to be prosecuted going forward. As Andy mentioned, Mark Jagiela will join in on the Q&A portion of the discussion today. So let me start with a quick recap of the year just finished. The overall numbers continue to be very good. We grew revenues and total profit rate to $1.66 billion and 23%, respectively. I recently noted to our employees that we eclipsed our records from what many considered the golden era of the semi-cap industry. That was the 1998 to 2000 dot-com boom. The shorthand is that while our cumulative top line revenues were 26% lower in the last 3 years than they were in that explosive era, our profit rate was 8 percentage points higher and our cash generation $500 million higher this time around. And we accomplished this with an average annual workforce that was 55% lower than that of the 1998 to 2000 period. Now all of this is to say that the resilience of our business model has been proving itself out now over multiple cycles at the same time that we've latched into some new markets and new growth engines. Greg will spend some time on how the strategy that produced these results will be employed going forward. Back now to 2012. While the total picture was strong, the component pieces were mixed, with an extraordinary performance by LitePoint, a solid showing in our SOC test and defense businesses, a very choppy year for storage test and disappointing results in memory test. We remained in the 40% plus level in SOC test market share, despite a smaller-than-normal market in analog and lower-end digital applications, as the microcontroller and automotive markets were subdued all year. As you know, our SOC test products for mobility applications hit new records in the year, as we've previously reported. But memory and storage test lagged for 6 months in the case of Hard Disk Drive test and really for the full year in memory test. So the very good annual results came from some standouts combined with some slow movers. It's pretty clear that the trough in our business is in the rearview mirror, but the market's rebound off the bottom is short of what we saw last year. You recall that December of 2011 was a sharp turning point led by smartphone- and tablet-driven SOC test bookings, so this means a more gradual recovery in the first quarter and far less than the capacity scramble we were into last year at this time. Now this doesn't change our view of the total SOC test market, which we've projected at $2.3 billion or our view of what needs to happen for us this year with regard to new markets and new products. As I mentioned last quarter, we have 2 important product launches in SOC test, in a J750 and Eagle Test sectors. These are both on plan to contribute this year in markets where we have very strong market share. We're progressing rapidly with the new offering in the hard disk drive space for 3.5 inch drives, a new market for us. And we secured customer commitments already, even though revenues will be lower into the second half of this year. And our efforts to expand LitePoint into cellular testing remain very promising, but we will, of course, hold our cards close for competitive reasons. We do believe we'll make headway on the cellular front this year, opening up a whole new sector for LitePoint. I should note that we're not expecting much of a rebound in memory, so that's more of a wait-and-see arena, but our defense and commercial board test units should make their usual contributions. So despite a slower start to the year than we saw last year, we've got more irons in the fire and are optimistic about how the full year should play out. Now let me turn it back to Greg.
Gregory R. Beecher: Thanks, Mike, and good morning, everyone. I'd like to first offer some perspective on the year just ended and our multi-year performance, before I update you on 2013. I'll then cover the fourth quarter highlights and first quarter guidance and close with some summary comments. So first, looking at 2012. We recorded our third consecutive year of very solid financial performance with sales of $1,657,000,000, a 23% operating profit rate and free cash flow of $285 million. Clearly, LitePoint was a standout performer, having more than doubled its annual sales to $286 million, far exceeding our original $160 million target. I'll come back to LitePoint shortly, but first, let me give you a quick multi-year picture. Over the last 3 years, we've averaged an operating profit rate of 24% and annual non-GAAP EPS of $1.76. We've also generated $963 million of free cash flow. This strong multi-year performance is attributable to our optimized business model and several selected growth investments. On the business model front, we consistently maintained financial discipline throughout the company. We require each business unit to be sized to earn model profits or better over a cycle, and we require that our core businesses steadily grow their market share by targeting attractive segments in which we can deliver a clear product differentiation. We also have some hard-sought advantages over our peers that contribute to our strong performance. For example, we're able to be much more efficient in SemiTest applications engineering, as our software is much easier to program. So while our customers get their silicon to market much faster, we spend far less in application support engineering. We're also able to be much more efficient in SemiTest engineering, as we don't have major overlapping platforms covering the same requirements, so we get more engineering leverage. And we take full advantage of our scale and the value of low-cost regions, whether in back-office functions such as accounting and IT, applications engineering or sourcing. Our strong core business and steady financial discipline provide a solid platform to grow the adjacent markets. This platform provides the dry powder and allows for the necessary management bandwidth to allow us to expand into new, higher growth markets. This platform also is attracted to smaller, faster-growing test companies that are potential acquisition opportunities. As I said in our last call, over 40% of our 2012 bottom line resulted from entering new markets since 2008. So for us, a strong core and selected new growth opportunities go together and is what distinguishes Teradyne. I'd like to now spend a few moments providing some insight into how we execute new growth. Remember first, there is no predicting the timing of any new growth opportunity, but nonetheless, I think it's useful if we give you a sense of how we look at this area. First, for opportunities that meet our growth and profitability targets, which we can address organically, we have a straight-forward process. We work closely with a lead customer to confirm and tease out the new product requirements and differentiation. We then secure the lead customer's engagement with a firm order, and then we execute against a set of milestones. An example of this type of development is in storage test, where we've built a solid business over the last 4 years. Now for growth through acquisitions, we first look at growing markets with meaningful profit pools in closely related businesses. Teradyne's strengths revolve around developing complex test systems requiring tight integration of hardware and software, so naturally, our M&A efforts tend to focus on companies and end markets that demand similar skills. We have strict criteria around sustainable, competitive differentiation. We look for opportunities to build on that differentiation by leveraging our existing IP, our global distribution network, our financial strength or some combination of all 3. Eagle, Nextest and LitePoint are good examples of this approach. On the financial front, for organic or M&A opportunities, of course, we need to at least earn our cost of capital and our hurdle rate we set at 15%. As we pursue growth opportunities, we'll continue to maintain financial discipline so we can generate cash and self fund new growth opportunities or return capital through our stock buyback program, if that is more beneficial for long-term shareholders. We have about $169 million remaining on our buyback authorization. I go through this to remind investors that while we operate in a very dynamic environment, the foundation of our strategy remains steady: a tight business model generating strong free cash flow, coupled with a very disciplined growth strategy. I'd like to now turn to LitePoint, which is at the epicenter of the ever faster and steeper ramps of smart devices. LitePoint grew its sales from about $130 million in 2011 to $286 million in 2012. As you recall, LitePoint testers are at the module and assembled product end, and they do both calibration and testing of the wireless capabilities. LitePoint set records and new product launches and ramped manufacturing four-fold from the prior year peak. And being inside of Teradyne certainly helped LitePoint customers place even more business with them, as well as expand their Asia footprint. LitePoint was also first to market with an 802.11ac production test solution, which is clearly winning in the market. These wins bode well for the future as 802.11ac-based products ramp. In 2012, LitePoint benefited from a growing connectivity market due to smart device growth, some large program buying and the addition of the 5-gigahertz WiFi band driving up test time. We also gained market share with our production optimized solutions and followed the chipset strategy, which helps customers get their products to market faster. Longer term, the wireless trends remain very positive with ongoing smart device growth, with faster and steeper ramps, the growth of the Internet of things that is connecting appliances, security, medical devices, climate control and lighting to your handheld device; and finally, increasing cellular data requirements from the growth in media sharing across multiple devices anywhere, anytime. Now coming back to this year. As we've said last quarter, we expect 2013 LitePoint revenues to be in the $260 million to $360 million range or $550 million to $650 million in its first 2 years as part of Teradyne. Similar to 2012, the first quarter and fourth quarters should be the low points. As you know, we have our sights set on breaking into cellular in 2013 in a more substantial way, so stay tuned for further updates. Our expectation is that connectivity buying will be less than last year given the very large 2012 program buying. Companywide, 2013 is expected to start off more slowly than last year. And as a reminder, in any one year, either our second or third quarter can be the peak. Mobility will remain the main driver, and some of our other segments that we're very strong in, such as performance analog, microcontroller, automotive, should pick up as we get further into 2013. Our new growth investments that we talked about last quarter will continue to ramp in the first quarter, and we expect to be on the model we shared with you last quarter. Some of our investments will bring new offerings to market later this year, so stay tuned. Now moving to the key highlights of the fourth quarter. We had total company bookings of $273 million. SemiTest bookings were up to $183 million. SOC test orders were $171 million. And Memory Test orders were $12 million in the fourth quarter. SemiTest service orders were $51 million. Systems Test Group orders increased to $64 million with $35 million of service orders. Wireless Test orders were $26 million. In the fourth quarter, Semiconductor Test sales were 74% of the total. Systems Test grew 16% and Wireless Test 10%. Our book-to-bill ratio for the fourth quarter was 1.1 for the overall company, 1.0 for Semiconductor Test, 1.6 for the Systems Test Group and 1.1 for Wireless Test. At the end of the quarter, our backlog stood at $354 million, of which 68% is scheduled to ship and be recognized as revenue within the next 6 months. The top line of $248 million was down $215 million or 46%, sequentially, from the third quarter. SemiTest was $184 million, down $127 million or 41%, and Systems Test group was $40 million, up $6 million or 18%. Wireless Test was $24 million, down 79%. We had one 10% customer in the quarter, and our top 5 customers accounted for 28% of our fourth quarter sales. For the full year, we had one 10% customer. SemiTest product shipments decreased 49% from a quarter ago. Within the $248 million, service revenue was $69 million, a $1 million decrease compared to the third quarter. SemiTest service revenue was $52 million. Total company product turns business was 40% versus 31% a quarter ago. SemiTest product turns business was 40% versus 30% a quarter ago. Memory revenue was $10 million. Moving down the P&L. Non-GAAP gross margins decreased to 54% from 56% in the third quarter due to lower volume. Non-GAAP operating expenses were $122 million compared to $131 million in the third quarter, as our variable compensation flexes down on lower sales. At the operating line, we posted a 5% profit, marking the third consecutive year that we stayed in black in the trough fourth quarter. Our non-GAAP net interest and other expense was $2 million. Taxes were a benefit of $3 million in the quarter, as we adjusted the full year tax rate down to 10%. Looking to 2013, we expect a cash tax rate of about 11%. Cash from operations generated $14 million after capital additions. We ended the quarter with gross cash of $1 billion. DSO was 56 days, up from 40 in the third quarter. We expect cash and marketable securities to decrease by about $40 million in the first quarter as we pay out annual variable compensation and make tax payments. As a reminder, we have about $300 million of cash offshore and subject to U.S. tax if repatriated. This will likely grow by about $100 million a year. As noted in the press release, sales for the first quarter are expected to be between $260 million and $280 million, and then non-GAAP EPS range is a loss of $0.01 to income of $0.05 on $195 million diluted shares. Diluted shares are lower than normal because at this profit level, including interest and excluding the convertible shares, is more dilutive. I should add that the guidance excludes the amortization of acquired intangibles, the noncash imputed interest on the convertible debt and includes taxes on a cash basis. Our GAAP EPS range is a loss of $0.06 to $0.01. The operating profit rate at the midpoint of our first quarter guidance is about 2%. Now moving to the P&L percentages. In the first quarter, we expect non-GAAP gross margins to be 52%. R&D should be 24% to 26%, and SG&A should also be 24% to 26%. Non-GAAP net interest expense is expected to be about $2 million. So in summary, 2012 was our third consecutive year with 20% plus operating profitability. We will continue to stay focused on maintaining financial discipline while selectively investing to drive further earnings growth. Now I'll turn the call back to Andy.
Andrew J. Blanchard: Thanks, Greg. Sally, we'd now like to take some questions. And as a reminder, please limit yourselves to one question and a follow-up.
Operator: [Operator Instructions] Your first question comes from the line of Vernon Essi with Needham & Company.
Vernon P. Essi - Needham & Company, LLC, Research Division: I was wondering, Mike, if you could look into sort of the first half of this year and give us an understanding of where you're seeing activity, most on the device front. I've heard over the last couple of weeks, some of your sub assembly type folks in the industry were seeing some activity, and of course, your guidance doesn't necessarily indicate that there's a lot of activity in the ATE front. I'm just wondering if things changed after the turn of the year with some of the customers and where there might be some activity.
Michael A. Bradley: Yes, Vernon, the -- as we come back off the bottom here, the drivers for us are power management. I'm talking here on the SOC space.
Vernon P. Essi - Needham & Company, LLC, Research Division: Sure.
Michael A. Bradley: Power management and the mobility ICs, so that continues to be the strongest segment for us. And I think that, that's what we'll see as the leading segments going forward over the next couple of quarters. We saw a little bit of growth in the fourth quarter here in automotive for us, which has been quiet. But I think if this moves back up, the thing that'll click back in much more strongly here will be the mobility products.
Vernon P. Essi - Needham & Company, LLC, Research Division: And just to sort of follow on that, was there any -- I guess since the turn of the year, have you seen any increasing activity on the order front? Or has it been pretty consistent from where it was at the end of 2012?
Michael A. Bradley: Well, we've only got a few days into it here, so in the last 15 minutes, it's picked up. No. There's nothing that is dramatic at this point. I think the thing that we would refer you to is that when we come off -- when the industry comes off the bottom, it usually doesn't go back down. So we're expecting it to continue to go northward. It's really the slope of it that is hard to call at this point. But clearly, there's more activity now than there was a month ago, so we're expecting things to continue to turn up. But the exact call here on which month it's going to start to move, you remember last year the move was earlier and it was very, very strong, so we'd expect, when it moves, it tends to move in a herd, so it'll move stronger. But at this point, we're on a trajectory of recovery off the bottom, but it's very hard to call a slope right now.
Operator: Your next question comes from the line of Jim Covello with Goldman Sachs.
Mark Delaney - Goldman Sachs Group Inc., Research Division: It's Mark Delaney calling on behalf of Jim Covello. Mike, I was hoping you could talk a little bit more about your views on the slope of the recovery into the first half of 2013. I know the absolute level of where your SemiTest orders are, is different in 4Q this year as opposed to 4Q last year. But if I just look at your numbers last year, your SemiTest orders were up 19% sequentially, and it was the same growth rate of your SemiTest orders this year. So can you help maybe compare and contrast what it was that enabled the SemiTest revenues in each of the first 2 quarters to be up over 30% sequentially and contrast that with kind of what you're seeing today for the first half?
Michael A. Bradley: Yes. Mark, do you want to talk a little bit about that?
Mark E. Jagiela: Yes. This is Mark Jagiela. In the business in the last few years, it's all mobility that drives the volatility and buying for mobility. So if you compare last year to this year, essentially, we're seeing very similar trends where the mobility buys the dropoff in late third, early fourth quarter and start to pick up in first, and we're seeing some signs of that. The difference is that I think the tooling last year for mobility capacity was tooled for a peak ramp forecast of the new devices that probably came in slightly under that, so there's a little bit of utilization to soak up here in the first quarter. And as we look at the new products that will be introduced in second and third from our customers, the first step is to absorb a little bit of that capacity and then they'll -- that rocket will take off again. And that's around all the parts you would normally expect in these devices. There's WiFi, and we're seeing a little bit of sign there of that pickup, applications, processors, those kind of devices.
Mark Delaney - Goldman Sachs Group Inc., Research Division: That's helpful. As a follow-up question, I was hoping to talk on the wireless device test business, and Greg, I appreciate the color you gave on the full year target and what drove that for 2012. Could you give us your view on what inning the 5G, WiFi refresh is in?
Gregory R. Beecher: What inning? Mark, was that the question?
Mark Delaney - Goldman Sachs Group Inc., Research Division: Yes. I know you guys have strong share on the WiFi side of that, and I understand that drove some of the strength in 2012. As you look into 2013 or 2014, what your view is of how far along the -- a refresh or installed base is?
Gregory R. Beecher: Okay. The biggest area for refresh is with 802.11ac, and we're in the very, very early innings of that. That was a small amount of our sales this year, and we captured very, very high market share. So I think 802.11ac is a significant WiFi standard change that will affect, our sense is, probably 2014 a lot more than '13, but it's going to continue to grow over time. The thing that's happened with WiFi this past year, and is still occurring, is the 5G band has been added, and that drives up test time. And I believe in China, the Chinese government is authorizing or releasing that 5G band, so that's good news as well for LitePoint.
Operator: Your next question comes from the line of Vishal Shah with Deutsche Bank.
Vishal Shah - Deutsche Bank AG, Research Division: Just wanted to understand, in the cellular test business revenues from your LitePoint business last year. What percentage of revenues came from that segment? And you said -- and the hard disk drive segment you expect some of the customer commitments to show up in revenues in the second half. I mean, could you maybe talk about what kind of traction you're seeing there in that segment?
Gregory R. Beecher: Sure. This is Greg again. Cellular revenues last year were less than 5% of our total sales, so very small. There was important design and so this year, we have plans to break into cellular in a much more meaningful way. And when you look at our guidance, the $260 million to $360 million, that's really cellular. If we have a good year in cellular, we're up at $360 million. If we don't, we're down at $260 million. So we see some good opportunities. But I did say last quarter was that the margins will be lower in cellular. It's very competitive and the new guy has to be very aggressive to get in. We've got some key product advantages, but some of these advantages can't be fully unleashed based upon how we have to fit into the test environment. So we feel good about our prospects. It is a long designing cycle, and we're not going to know probably until -- earliest would be Q1. And if we break in, which we have our sight set on doing that, we'll probably ship Q2, Q3.
Michael A. Bradley: And Vishal, on the hard disk drive side, last year was first half story. I think we had probably 85% to 90% of our revenues in the first half of the year. It won't be fully inverted, but it'll be very heavily weighted to the second half, and that's a capacity utilization story on the 2.5 side. But we'll complement the product line with the 3.5-inch product in the second half. So that'll give us another engine and nearly double the market, the TAM that we're going after. So it'll be a quarter or 2 here. We think it'll still be pretty quiet on the hard disk drive side and then in the second half, should pick up substantially because we've got a second product going.
Operator: Your next question comes from the line of Stephen Chin with UBS.
Mahavir Sanghavi - UBS Investment Bank, Research Division: It's Mahavir for Stephen Chin. Two questions on LitePoint. First question about -- you're guiding flat for the year. Just trying to get a sense in terms of -- you talked about internal things. Is that an upside opportunity? Or is that a 2014 opportunity in terms of a buildout for internal things? That's the first question. And the second one is, can you give some color about your exposure to top 2 players in -- on the wireless -- mobility side? Are you exposed to 1 of the 2? Or the exposure is kind of even?
Michael A. Bradley: I'll take the second one, which is we can't comment on the exposure. Sorry, but that's a very sensitive arena. Greg, on the first one?
Gregory R. Beecher: On the first one, I'm very sorry, Steve. I didn't get the full question.
Michael A. Bradley: Internal things. Where is that? Is that '13 or '14 arena?
Gregory R. Beecher: It's very early. You see some applications now, but we're in the early innings. That's going to run for the next at least 5, 7 years. It's going to help the SemiTest business, too, as well as LitePoint. I think the more you look around, you see applications showing up, but it certainly is nowhere -- I'd say it's inning 1 or 2 right now.
Michael A. Bradley: And we know it's not Stephen, Mahavir.
Mahavir Sanghavi - UBS Investment Bank, Research Division: That's fine. And then just a quick follow-up. Have you -- I mean, you had a gray year for LitePoint in 2012. Have you seen any big changes in the competitive landscape of new competition or new product introductions or accelerated product introductions from your competitors? Anything you can talk about that?
Gregory R. Beecher: It's obviously an attractive market, and I think we're bit of a target. So yes, it is very competitive, but we believe we can continue to execute and stay ahead. And I think in this business, LitePoint, it's also going to be quite volatile, like our other businesses. So 2012 was many new records, and we gave wide ranges. But if you look at the range inside the company, could be even wider. So it's a business that's very difficult to forecast, but strategically, we feel very good about our product portfolio and our position with customers, and we've gained market share last year. But it's very hard to call exactly where we might end up at any point in time.
Operator: Your next question comes from the line of Mehdi Hosseini with Susquehanna International.
Mehdi Hosseini - Susquehanna Financial Group, LLLP, Research Division: I had a couple of follow-ups. Can you maybe elaborate on the LTE opportunity by kind of walking us where are you in the qualification stage? Or are you already qualified and just simply waiting for the customer ramp? And then, Greg, I want to go back to the issue -- to a topic of cash. You have effectively doubled net cash per share. Any update there? I know you don't want to -- you used to buy back or give dividend, but anything you can share with us in terms of where you are in M&A will be really greatly appreciated because you keep building out the cash, and it's going to continue to grow. And we don't know how you guys are going to employ this cash.
Gregory R. Beecher: Okay, if I may, both good questions. Okay, on the first question, so we're in a good position. We are qualified, but I cannot tell you that doesn't mean yes, I win. There's a whole bunch of other things that have to get sorted out, but we are qualified and our tester can test the devices quite competitively. So we're in a good spot but stay tuned. A lot can happen between getting qualified and getting the order, okay? Second one on cash, we do try to, in each call, update you on cash and our strategy, but in truth, it really is a steady course. If you think about what we've done over the last 3 years, we've built a strong core that generates strong cash. We've used that cash to buy LitePoint, Eagle and invest in some other businesses. And that's given us 40% of our earnings growth. So we like that. We very much like that strategy. Now what I've also said is at some point, the cash grows and it gets perhaps much larger than where it is now, and then there's more pressure on us to think about the subject harder. What do we do? We're stepping back from that each quarter where we do the topic with our board, stock buyback, dividend. But we continue to stay the same course, to be very patient on stock buyback for our long-term shareholders, wait until the stock is severely undervalued and hold the hard-earned capital because we believe there are some attractive test companies, not exactly another LitePoint, but there might be other businesses that have some similarities to LitePoint that we could get a much greater return inside of Teradyne in our platform than buying back stock. And if we can't find those enterprises, then fair enough, the pressure is back on us to look harder at returning capital.
Mehdi Hosseini - Susquehanna Financial Group, LLLP, Research Division: Got it. And if I may just squeeze one follow-up, given the recovery in -- well, actually, the cyclical nature of the SemiTest and where you are with bookings, if you look at historical trend, it suggests that, yes, bookings are going to continue to improve into Q1. And is that a fair assessment? And are you going to continue to improve -- booking is going to help improve backlog?
Michael A. Bradley: Yes, I think the issue is just the slope is hard to call. If you look back maybe on the website, we've got -- goes back a few years, and you can see it's a very rare occurrence that after the bottom is hit that you go up and then quickly come back down. So we do expect things to firm up. But what Mark said about where our capacity is and the introductions of our customers' new products really have suggested to us a quarter ago that 2013 in total, we had shaved our estimates for the total market in SOC down by about 10%. And I think about half of that 10% is likely to be absorbed in the first quarter of this year. So we do expect things to continue to strengthen, very tough to call, though, given the steepness of the ramps that our customers are going through and the lead time compression that we've got. Very tough to call exactly when that kicks into overdrive, but it's definitely on the up slope.
Operator: Your next question comes from the line of Krish Sankar with Bank of America.
Krish Sankar - BofA Merrill Lynch, Research Division: I had a few of them. Greg or Mike, if I look at your Q1 guidance, I see an SOC revenue in Q1 at the same run rate as in Q4.
Michael A. Bradley: Hang on Krish.
Gregory R. Beecher: Is that a question?
Michael A. Bradley: Yes, he said is the SOC revenue the same in Q1 and Q4.
Gregory R. Beecher: No.
Krish Sankar - BofA Merrill Lynch, Research Division: Is it higher or lower?
Gregory R. Beecher: It's higher.
Krish Sankar - BofA Merrill Lynch, Research Division: It's higher than Q1. Okay. All right. Fair enough. But in calendar '13, when I look at your HDD sales, do you think it would be higher or lower than calendar '12, baking in your new 3.5-inch product?
Gregory R. Beecher: I think it'll be higher, Krish. Just as a quick reminder, this past year, HDD was about $100 million all front end. The year before, it was $155 million, $160 million, so over 2 years, it averaged $125 million. But we all know that, that area is kind of weakening because of the tablet, but we do believe getting into 3.5 can help us with the cloud computing to get back up to $125 million, which is an amount of revenue we need to hit our 15% model profit. So we think we can get to about $125 million.
Michael A. Bradley: Having said that, Krish, the place we're standing on hard disk drive now is very different from last year at this time. We just had -- we had our first half year backlog in hand as we entered the year last year, and this year, it's just the opposite. So we're really making a forecast here based upon what we think the overall market will do. And we'll buttress this year a bit because we do have a new product, and if that -- if we're able to get that latched, that'll help us. And that's why we think we can, on a kind of an annual average basis, get to our $125 million level, but it'll be a second half story.
Gregory R. Beecher: The rest have gone up on this, and this is what we talked about earlier in the prepared remarks that we secured 2 lead customers to work with us on the design of this product. And one thing you want to do when you're designing new complex test equipment is to have the buyers working with you, so you get all the subtleties right. And we have market share agreements, so they're bought into it. So it's up to us to execute. A lot of risks in execution, but the good news is we've got some customers pulling us.
Krish Sankar - BofA Merrill Lynch, Research Division: Got it. And then finally, you guys said that it looks like your SOC market share is actually like roughly static in the lower 40s. What is your mobile SOC market share you think it was in calendar '12 -- exiting calendar '12?
Mark E. Jagiela: Yes. This is Mark again. In mobility devices, we're probably right around the 50% point, if you look at tablet or cellphone and break it down. So that pulls up our average. And so if you look at the whole market, the place that pulls the average down would be in PCs where we really have low exposure, but roughly 50% mobility.
Operator: Your next question comes from the line of Satya Kumar with Credit Suisse.
Satya Kumar - Crédit Suisse AG, Research Division: Yes [indiscernible] just to continue on that market share question, do you expect your mobility share to be similar this year? Or are there any major shifts happening in the supply chain that might play to your benefit or against you? How should we think about share this year?
Mark E. Jagiela: Yes, Mark again. So our whole product strategy for a couple years now and go-to-market strategy has been focused on mobility. So when we talk about gaining a point or 2 of share per year, most of that is targeted at mobility devices. So we would expect that share to go up in 2013. That's our plan. And the product that we have for that area, it really focuses on 2 features to enable that. One is just the breadth of instrumentation. If you look at a phone compared to any other consumer or industrial product, the breadth of sensors, digital processing, analog processing, RF capability is vast, and you need a product that can do all that. That's what we've got. The second characteristic is the ramp and the time to market for new silicon. It's unbelievable. Three years ago, it might have been 6 months between a validated piece of silicon and a ramp, and that's compressed last year to down to 3 months. And I bet you this year, it'll be down to less than 2. And so the ability of the test system to debug silicon and get the yields more quickly is the other feature that we've leveraged into this. So we expect our share to go up. That's where we're focused and will continue to focus.
Satya Kumar - Crédit Suisse AG, Research Division: Okay, that's helpful. And Mark, again, perhaps you can address this. You mentioned that there was some amount of excess capacity that was created in last year by your shipments. Was that specifically for SOC or LitePoint or both? And is there a way you can quantify the amount by which you overshipped the market demand last year for these segments?
Mark E. Jagiela: Yes, I'm just speaking of SOC in that case. And what typically happens is when a new mobile device comes to market, it has a vertical ramp. And I'm not -- there's a bit of a prebuild of inventory that goes on but frankly, not as much as you would think. So a lot of capacity needs to be put in to keep up with that ramp, and the ramp is a forecast. And there's a range of how fast is this new thing going to ramp, and our customers don't want to be cut -- caught short on the upside. So they tend to buy toward the high side of the forecast for the ramp. What happened, I think, in 2012 is that the ramps for the new devices were very strong, better than average but not at the peak forecast that people bought to. So how much of an overhang was there? It's hard to calibrate. I don't think there's a lot. The utilization right now is quite high. So I think as we get into the next product announcements, you'll start to see the ramps kick in. But I think, as people think about capacity, they don't want to be caught short. And if the world comes in a little bit below the top end of the forecast, there'll be a little bit of overhang, and that's what we saw.
Satya Kumar - Crédit Suisse AG, Research Division: Okay. And then lastly on LitePoint, 802.11ac, is that going to be a meaningful -- I mean, it sounds like it is contributing to something, but is there a way for us to think about the magnitude of that contribution to LitePoint this year? How far away from 50%, for example, will you be for 802.11ac this year for you guys?
Gregory R. Beecher: I think 802.11ac will be well under 50% of the connectivity sales. This year, maybe it's 20%, that neighborhood, maybe 25%.
Operator: Your next question comes from the line of C.J. Muse with Barclays.
Christopher J. Muse - Barclays Capital, Research Division: I guess first question, I was hoping to dig a little bit deeper into the SOC side, so can you share with us what you think the size of the market was in 2012 and what your view is for 2013 and if you could talk about your expectations for share, not only on the mobility side but also including the 2 new products you alluded to from Eagle and the J750?
Michael A. Bradley: I'll give you the market, C.J., and then Mark will talk about the segments. Dropping back a little bit, for 3 years, it's been -- the market's been around 2.5 to 2.6. The last 2 years just under 2.5 in '11 and just over 2.5 in '12. And what we've projected -- and again, it's all connected to this issue of utilization, the ramp, the buying levels and the various segments of what's strong and what's not strong. We said for ballpark estimate, we're around 2.3. And if you look at the recovery in the overall market, we think the first quarter soaks up a fair amount of that drop of $300 million, maybe about half of it.
Mark E. Jagiela: And then on the product front, the new Eagle and J750 products that we'll be introducing this year are really going after segments in linear power automotive and microcontroller low-cost consumer, where we're currently very strong in share, and we see the ability to extend that with these product introductions. But the markets themselves that those 2 products are in are essentially slow-growth markets. So while we can pick up additional share in those markets and we're very strong there, a lot of the share gain we're looking at in 2013 is back in mobility, which is the UltraFLEX product that we introduced a major refresh on last year. And so as we look at our share position in 2012, like I mentioned before, in aggregate, it was in the low 40s, and in 2013, our target is to move that north into the mid-40s.
Christopher J. Muse - Barclays Capital, Research Division: And if I could just follow up on that theme, in terms of the share gain, is that entirely mix related or actually winning sockets?
Michael A. Bradley: It always comes about from both, and socket wins probably are about half of that. And then the mix shift that we're forecasting is the rest of it.
Christopher J. Muse - Barclays Capital, Research Division: Okay, great. And then if I could ask a follow-up question regarding LitePoint, I guess 2 questions to that. First, in terms of what you're seeing today in AC demand, is that more access point related or handset? And then on the cellular side, it sounds like carriers want LTE-ready handsets regardless of whether the technology will actually be available, so curious what that means for your expected ramp for that business over the next 2 quarters.
Gregory R. Beecher: Okay. C.J., this is Greg. On the connectivity side, the growth is handsets. It's not the access point. I mean, it is some of that, but handsets is going to drive it at least for the next year or 2, and tablets would be next in terms of the drivers. On the cellular side, LTE generally needs more test time. It has many more bands and it's complex, different modulations, so test times go up. And it's a good opportunity because LitePoint has a production-optimized tester, so it plays well to their strengths.
Operator: Your next question comes from the line of Patrick Ho with Stifel, Nicolaus.
Patrick J. Ho - Stifel, Nicolaus & Co., Inc., Research Division: I guess first on the SOC test side of things, when you mentioned the 28-nanometer device buildout that you saw last year that spurred some of the activity you saw in 2012, as we move down to 20 nanometers, are you expecting another similar surge or the possibility that they'll try and reuse some of the equipment that they bought last year for that node as well?
Michael A. Bradley: Yes. I think, Patrick, equipment is always reused. Usually, the lifetime of a piece of equipment in this space is at least sort of 7 to 10 years. That's always been true. I don't see that changing. I think the change is when you go from 28 to 20 or -- and so on is that the yield learning curve on the parts is one issue. So typically the 20-nanometer node will come in at a lower yield than the 28-nanometer node, and that is another thing that, early on, spurs more capacity early in the life cycle of a node. So when we move to 20, there will definitely be a surge of buying early in that node that will ameliorate until we get into the next node step over time. And those kind of come in 2- to 3-year increments, so you'll see a very strong year. And then you'll see a mature process technology maybe in the second year, and then by the third year, you're back into it again.
Patrick J. Ho - Stifel, Nicolaus & Co., Inc., Research Division: Right. Great. That's really helpful. And maybe just moving to LitePoint for a second, in terms of your activities or entering the cellular market on a more active basis, is there a different, I guess, qualification design stage we'll see, different seasonality versus what you're seeing in connectivity where it's primarily concentrated in 2Q and 3Q? Is there anything different with that? Or are you expecting that to also be kind of in the middle of the year?
Gregory R. Beecher: No difference. It should be following the same pattern. And I think with this connectivity subset, we're going to see Q2 and Q3, generally speaking, as the peak shipment quarters.
Operator: Your next question comes from the line of Jagadish Iyer with Piper Jaffray.
Jagadish K. Iyer - Piper Jaffray Companies, Research Division: Mike, a quick question on -- 2 questions on the -- you had talked about it a while ago about NAND testing being more customized. As we see more and more SOC adoption in both utlrabooks and tablets and other hybrid devices, I was just wondering what is your plan right now to target that market given that it could be a huge market going forward. So I was just wondering if you have any updates for me on that one.
Michael A. Bradley: Well, I'll comment on overall on memory, and Mark can talk about the NAND space. I think the memory space, both DRAM and NAND, has been a compressed market here for the last 3 years, and we're projecting that it's going to stay that way. There is heavy reuse in that space, and the productivity effects in memory test have been much more significant than they have been in SOC, despite the fact that SOC has had a big increase in parallelism. But there are technology advances that are underway in both DRAM and the NAND that we think we can intersect here with our product offering. Do you want to comment on that?
Mark E. Jagiela: Yes. So I agree with what Mike was saying. The market's going to be pretty anemic as a total market, maybe $400 million to $500 million of equipment, and our share right now is in the mid-teens. So -- what we do see happening technologically on the DRAM side as we go to known good die as bare die DRAM get popped onto application processors and mobile electronics, the test requirements at probe are getting increasingly important to get good yields at these integrated packages. And our high-speed memory tester in that regard has some advantages that we hope to exploit here in the next year or 2. On FLASH, the thing -- the only real technological driver in FLASH related to test that could cause a breakout there is as we move into SSD-type applications or even tablets, the need for FLASH to run at much higher speeds, bandwidth, is resulting in the interface speeds of NAND FLASH going up through toggle technologies. That obsoletes a lot of the installed base and test equipment, which has been sub kind of 100-megabit-per-second rates. And that's the other area we hope to exploit. As that shifts to 800 megabits and above, our Magnum product line is sort of sitting right in that sweet spot. But in an aggregate, the dynamic of buying, I think, will be as an aggregate market pretty flat for the next few years, but as the shares shift, those are the 2 things we're looking at to move north of the mid-teens up into the 20s.
Jagadish K. Iyer - Piper Jaffray Companies, Research Division: Okay. And just a quick follow-up on the OSAT utilization. Mike, can you give us some thoughts in terms of how we're just tracking from fourth quarter into first quarter? And what do you see going forward for the remainder of the year?
Michael A. Bradley: The -- I don't have it right in front of me, but we're between 70% and 80% utilizations with the mix of products, with the UltraFLEX at the high end being -- certainly at the high end or above the top number, where the 750 would be at the lower end of the utilization levels. I think OSAT has typically been -- the OSAT buying this past quarter was 47% of our total, down from 51% in the prior quarter. So obviously, that correlates to the utilization being a little bit lower on the OSAT side. But if you looked at it on a product basis, you'll find UltraFLEX at the high end of the utilization spectrum in all of the customer environments.
Jagadish K. Iyer - Piper Jaffray Companies, Research Division: And do you see that continuing to improve, the utilization offer to soak up in the first quarter?
Michael A. Bradley: Yes. I mean, it's -- the industry numbers on this say that the utilization levels that we have right now are actually a little bit higher than the last trough. And it feels close to us, but it may in fact be just a hair. It's not lower. So it's around the same level. So I think it's more type of what Mark was talking about, and that is the product launches that really drive the spike in buying or that's the difference in the scenario this year versus last year. Whereas, I think utilization is kind of mirror image of -- in the 2 years.
Operator: Your next question comes from the line of Terence Whalen with Citi.
Terence R. Whalen - Citigroup Inc, Research Division: Just one quick question. I'm not sure if you addressed this. What's the anticipation of competitively on pricing from Japanese yen devaluation?
Gregory R. Beecher: This is Greg. We're not expecting a significant impact. The yen has moved around over a period of time. And we just haven't seen that affect our major competitor. I think they price based upon the competitive dynamics and what's necessary in that situation as opposed to have their pricing impacted by the yen, but stay tuned.
Terence R. Whalen - Citigroup Inc, Research Division: Okay. Terrific. And then the follow-up question that I had is just a very broad regional question. As you look into the first half, do you expect better demand acceleration from some of your Taiwanese customers or Korean customers?
Michael A. Bradley: Mark, do we have -- I don't know if we've got a breakdown. Our visibility and forecast doesn't go out very far. What do you think the breakdown is between Taiwan and Korea?
Mark E. Jagiela: Yes. It's -- that is a tough one to call. I wouldn't -- actually, I don't think we should even try to speculate there because it might divulge some of our major customers' buying plans.
Michael A. Bradley: Terence, well, it's -- the countries don't really kind of mask the company, so that's why we're holding back.
Terence R. Whalen - Citigroup Inc, Research Division: Fair enough. I thought it was worth a try.
Andrew J. Blanchard: Great. Well, thanks, everyone, for joining us today. This concludes our call. Thanks for your interest, and we look forward to talking with you in the coming weeks. Thank you.
Operator: This concludes today's conference call. You may now disconnect.